Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Super Micro Computer Incorporated Third Quarter Fiscal 2016 Conference Call. The company's news release issued earlier today is available from its website at www.supermicro.com. In addition, during today's call, the company will refer to the slide presentation that is made available to participants, which can be accessed in a downloadable PDF format on its website at www.supermicro.com in the Investor Relations section under the Events & Presentations tab. During the company's presentation, all participants will be in a listen-only mode. Afterwards, securities, analysts and institutional portfolio managers will be invited to participate in a question-and-answer session, but the entire call is open to all participants in a listen-only basis. As a reminder, this call is being recorded Thursday, April 28, 2016. A replay of the call will be accessible until midnight, May 12, by dialing 1-877-870-5176 and the entering conference ID number 1162246. International callers should dial 1-858-384-5517. With us today are Charles Liang, Chairman and Chief Executive Officer; Howard Hideshima, Chief Financial Officer; and Perry Hayes, Senior Vice President, Investor Relations. And now I would now like to turn the conference over to Mr. Hayes. Mr. Hayes, please go ahead, sir.
Perry Hayes: Good afternoon everyone and thank you for attending Super Micro's conference call on financial results for the third quarter fiscal 2016, which ended March 31, 2016. By now, you should have received a copy of today's news release that was distributed at the close of regular trading and is available on the company's website. As a reminder, during today's call, the company will refer to a presentation that is available to participants in the Investor Relations section of the company's website under the events and presentations tab. Please turn to slide two. Before we start, I'll remind you that our remarks include forward-looking statements. There are a number of risk factors that could cause Super Micro's future results to differ materially from our expectations. You can learn more about these risks in the press release we issued earlier this afternoon, our Form 10-K for fiscal 2015, and our other SEC filings. All of those documents are also available from the Investor Relations page of Super Micro's website. We assume no obligation to update any forward-looking statements. Most of today's presentation will refer to non-GAAP financial results and outlooks. For an explanation of our non-GAAP financial measures, please refer to slide three of this presentation or to our press release published earlier today. In addition, a reconciliation of GAAP to non-GAAP results is contained in today's press release and in the supplemental information attached to today's presentation. I'll now turn the call over to Charles Liang, Chairman and Chief Executive Officer.
Charles Liang: Thank you, Perry, and good afternoon, everyone. Please turn to slide four. First, let me provide you with the highlights of our fiscal third quarter. Our revenue was $532.7 million, it’s 16.6% over from that quarter and 13.1% higher year-over-year. Year-to-date revenue grew 19% over the same third quarter period last year. Non-GAAP net income was $19 million it’s 15% from last quarter and 23.8% lower year-over-year. Non-GAAP earnings per share was $0.36 per diluted share compared to $0.73 last quarter and $0.47 last year. In the seasonally weaker second quarter, we saw softer market demand than anticipated therefore results for this quarter were at the low end over our revenue due to some softness with some key customers. January and February were particular while March show improved momentum. However, revenue continues to grow at industry leading pace by growing 13.1% over last year. This growth was led by our two strongest segment of [indiscernible] and cloud as well as storage. We’re confident that Super Micro will continue to consistently gain market share and grow multiple times by industry’s growth rate. Strategically, we remain focused on our core market with the cloud and storage which are growing faster than the overall market. In addition we continue to grow our computer system business mostly through our direct sales. Computer Systems Incorporated over a component into a turnkey solutions deliver our data customer experience high revenue and value and account for 70% of our total revenue in the quarter. Internet data center and cloud was 26% of total revenue, up 40% year-over-year. We’re participating in the overall move to the cloud with our key customers in this segment including several order in global cloud data centers. We continue to work closely with these leading cloud industry providers at a scale as well as key new projects leveraging innovative new technologies such as [indiscernible] architecture. We’re very committed to winning in the cloud segment and new designs and architectures to be critical opportunity moving forward. Storage was 21% of total revenue and grew more than 23% year-over-year. Our storage sales to cloud and enterprise customers grew 30% and our sales grew hyper-converged system suppliers who combine our system into their product grew 14%. Our storage products are the best fit for open source software defined storage and all flash NVMe solutions. The application optimize billion box architecture provides the best performance and efficiency for big data and cloud open stack solutions. Our storage solution recently received the innovative [indiscernible] award from IT brand survey. This award acknowledges Super Micro over innovation in system for software defined storage. Slide 5, our core server business remains strong, we continue to be the industry leader in all flash NVMe solutions and are investing to rapidly expand our ecosystem. We now have more than 50 NVMe ready server storage systems to meet the need of any work load. Super Micro’s NVMe solutions actually [indiscernible] and deliver multiple times price performance ratio advantage, our traditional data or SSB solution. The twin portfolio as well as other products reached high record in March. We’ve introduced SIOM networking options of core 1G, 10G, 25G and up to 100G ports for [indiscernible] and Intel based connectivity. At the end of our third quarter we launched the industry’s portfolio, our server and storage systems based on the new Intel GM E5 2600 [indiscernible]. We introduced new products across our entire portfolio of Super server, super storage, super workstation and CPUP manageable products over 200 billion box solutions, we provide customers early [indiscernible] through Q3 to see at our market and expect these new systems to be adopted by our customer base. We continue to expand our product offering and innovation for our rapidly growing storage business. Our storage systems and industry [indiscernible] 48 basis with second of easy access externally driver base. A rate in the patent began shipping in [indiscernible] continue the strong adaption of our maximum capacity for united [indiscernible] storage systems. This system can drive up to nine petabyte per 40 -- and we expanded the offerings with [indiscernible] and storage server option. To address the strong demand and opportunity for embedded and internet solutions we have expanded our product lines with new Intel GM processor SOC and system enabling new cold, warm and hot storage. IOT gateway and compact server providing complete IOT portfolio from the edge to cloud. Our server management sort of in global service continues to be some of our highest margin product lines and continue to grow multiple times faster than the rest of business. The global services business is implementing through year, amortization beginning to compound and improve economical scale for business. Our software defined total solutions based on open industry standard and industry leadings partners continue to grow at accelerated rate quarter over quarter. We announced seven new software defined storage and cloud solution in the quarter delivering end to end solutions with industry medium partners. Slide six please. Geographically United States was 61.3% revenue and was up 19.3% year-over-year. Europe was 17.5% of total revenue and up 5.7% year-over-year. In Asia revenue were 14.7% of the total revenue and up 5% year-over-year. We are seeing that our strategy of folks in North America and Europe is paying dividends income of overall future growth and profitability. We are continuing our global expansion completing new construction phase of our green computing park in Silicon Valley and utilization in our recently expanded European production facilities. Operationally we have managed to get investments in our SAP transition global operation impacts –optimization. Our OY factory utilization rate is about 30%, sorry 60% with extra capacity ready to support our future growth and profitability. We anticipate that this one-time investment will deliver short term and long term benefits to our scale and profitability. In summary our third quarter growth still greatly outpace overall industry growth. Strategically we are well position with both our extensive new product portfolio and our focus in the higher growth storage and cloud solutions. For more specific on the third quarter let me turn it over to Hayes.
Howard Hideshima: Thank you, Charles and good afternoon everyone. I will focus my remarks on earnings, gross margins, operating expenses and similar items on a non-GAAP basis to reflect adjustment to exclude compensation expenses. A reconciliation of GAAP to non-GAAP is included in the financial statements of the company and today's earnings release and in the supplemental detail in the slide presentation accompanying the conference call. Let me begin with the review of the third quarter income statement. Please turn to slide eight. Revenue was $532.7 million, up 13.1% from the same quarter a year ago, and down 16.6% sequentially. The increase in revenues from last year was primarily due to our increase in Server Solutions, which was up 23.3% led by our growth in cloud datacenter of 14.4% and storage of 23.3% year-over-year. On a geographic basis, we had strong growth in the U.S., up 19.3%, as well as growth in parts of Europe and Asia. Our Services and Software business has also grown by 147% which continues to show investments we have made in developing our complete solutions platforms are ramping. The sequential decrease in revenues was primarily due to seasonal weakness and software demand from larger customers. Our direct customer business was down 22%, and our distributor revenue was down 9%. Complete Servers was down 17.9%, and subsystems and accessory business was down 13.4%. And our cloud datacenter business was decreased by 27.1%. Turning to product mix. The proportion of revenues from server systems was 69.9% of total revenues, which was up from 64.1% in the same quarter a year ago and down from 71% last quarter. ASPs per servers was $4,400 per unit, which is up from $3,900 last year and consistent with last quarter. We shipped approximately 85,000 servers in the quarter and 950,000 subsystems and accessories. We continue to maintain a diverse revenue base with over 700 customers. One customer did represent more than 10% of our quarterly revenues at 10.2% cloud datacenter revenues was 26% and storage with 20.7% of quarterly revenues. 61.3% of our revenues came from the US and 45.6% from our distributors and resellers. Slide ten, Non-GAAP gross profit was $79.4 million, up 3.1% from $77 million in the same quarter last year, and down 25.5% from $106.6 million sequentially. On percentage basis, gross margin was 14.9% for the quarter. Price changes from Abelcom resulted in no-basis-point change to the gross profit in the quarter, with total purchases representing approximately 12.2% of total cost of goods sold, compared to 14.7% a year ago, and 13.4% sequentially. Gross margins of 14.9% is lower than prior year's gross margin of 16.3% primarily due to lower utilization given the additional investments we have made for our future growth and product mix such as [DCO] servers which were sold which we sold more of this year. Gross margin sequentially was lower primarily due to seasonally and seasonality and lower utilization on a worldwide basis. Utilization on a worldwide basis was about 60% where it has been above 6% sequentially and in the same quarter last year. Taiwan utilization was 51.4% versus 51.2% sequentially and 46.4% in the same quarter last year. Lower utilization was primarily due to reduced revenue as noted above and from the recently added capacity to support the future growth of the company in the US and other ones. These additions are consistent with our strategy go further in other parts of the US as well as increase our presence in Europe. The utilization is based on using a single shift, we do have opportunities to use second shift before making additional investment and further leverage our existing investments. Slide 11 and 12. Operating expenses were $51.1 million, up from $42 million in the same quarter a year ago and down from $53.5 million sequentially. As a percentage of revenue, operating expenses was 9.6%, which is up from 8.9% in the same quarter a year ago and up from 8.4% sequentially. Operating expenses were higher on an absolute dollar basis year-over-year primarily in personnel expenses to support development of our new products such as our MicroBlade and Simply Double Storage Solution, as well as our software and support services. Infrastructure investments also for going live on January 1, in the Netherlands and Taiwan on SAT and to launch the corporate reorganization on May 1 to better service our customers overseas have also been made. Sequentially, operating expenses were lower due to lower marketing and advertising expense and a difference in foreign exchange gain or loss of approximately 0.8 million The company increased headcount by 86 sequentially to 2,567 total employees. Operating profit was $28.3 million, down by 19.1% from $35 million a year ago and down from 46.7.9% from $53.1 million sequentially. On a percentage basis, operating margin was 5.3%, down from 7.4% a year ago and down from 8.3% sequentially. Net income was $19 million, down 23.8% from $24.9 million a year ago and down 50% from $38 million sequentially. Our non-GAAP fully-diluted EPS was $0.36 per share, down from $0.47 per share a year ago, and down from $0.73 per share sequentially. The number of fully-diluted shares used in the third quarter was 53,119,000. The tax rate in the third quarter on a non-GAAP basis was 32%, compared to 28.3% a year ago, and 28% sequentially. The rate was higher sequentially, primarily due to the retroactive reinstatement of the R&D tax credit in December 2015. We expect the effective tax rate on a non-GAAP basis to be approximately 31.6% for the June quarter. The company will go live on a global restructuring on May 1, in order to more efficiently support this foreign customer base as such we do expect to see change to our tax rate in the coming years. Turning to the balance sheet on a sequential basis, slide 13. Cash and cash equivalents in short- and long-term investments were $179.1 million, up $6.5 million from $172.6 million in the prior quarter; and up $67.1 million from $112 million in the same quarter last year. In third quarter, free cash flow was negative $4 million, primarily due capital expenditures of 9.9 million offsetting part by cash from operating activity of 5.9 million. We are working on executing our loan facilities [indiscernible] growth of the company both domestically and abroad. Slide 14. Accounts receivable decreased by $28.5 million sequentially to $285.7 million, due to lower revenues in the seasoning quarter. DSO was 51 days an increase of seven days for 44 days in the prior quarter. Inventory decreased by $7.3 million sequentially to $479.3 million, days in inventories was 97 an increase of 15 days from 82 days in the prior quarter. Accounts payable was $277.3 million, which was 60 days, an increase of 10 days from 50 days in the prior quarter. Overall, cash conversion cycle days was 88 days, which is 12 days higher than the prior quarter and was primarily driven by lower revenue and cost [indiscernible]. Now, for few comments on our outlook. In the third quarter, we grew about 13.1% in a seasonally weak quarter in which we continue to expand our product lines when live on SAT overseas and compared for corporate reorganization. Year-to-date our revenue growth is 19.3% for the year as we enter the fourth quarter, we see ramping of the Broadwell launch in a traditionally seasonally strong rev quarter for the industry. However, we are cautious of the current macroeconomic environment. Therefore the company currently expects next sales per quarter ending June 30, 2016 in the range of 580 to 640 million assuming this revenue range the company expects non-GAAP earnings per diluted share of approximately $0.46 to $0.58 per share for the quarter. At the midpoint this will represent a growth of 6% of revenue and negative 9% in EPS from the prior year. This will also represent a growth of 16% in revenues and negative 11% in EPS for the fiscal year 2016 compared to fiscal year 2015. We have made many investments during the past year on our structure as SAP in our corporate reorganization. Two additional facilities are brought in domestically to technology to broaden our solutions, software and service platforms. We believe that many of these investments will put us in a great position to capitalize on the opportunities we see ahead and further expand our business and grow the profitability globally. It's currently expected that the outlook will not be updated until the release of the company's next quarterly earnings announcement. Now with outstanding subsequent development however, the company may update the outlook or any portion there are at any time. With that let me turn it back over to Charles for some closing remarks.
Charles Liang: Thank you, Howard. We see significant opportunities with Super Micro to continue our industry leading growth in the next quarter and long term. We are actively participating and leading the IT evolution to the cloud. We are helping the market to accelerate the shift to software defined big data and cloud based solutions. With our extensive application up to many product portfolio and first to marketing innovation., we are well positioned for solid growth in the long term and will continue to outpace overall industry growth story. Operator at this time we are ready for questions.
Operator: Thank you, sir. [Operator Instructions] And we will first go to Aaron Rakers with Stifel.
Joseph Quatrochi: Okay, great. This is Joe Quatrochi on for Aaron. Maybe couple of questions if I could. First kind of going back to some of the utilization that you are talking about, how do we think about your investments and your manufacturing footprint, you’ve outlined over the past several quarters relative to the demand environment that you are seeing currently and then kind of in connection with that are you still supporting the 3 billion revenue target?
Charles Liang : Very good question. Indeed we have been very aggressively expanding our global operation including Asia and Europe. And that’s why we are in better on those factors for CT, to hire people, train people and now our utilization rate although only 60% now we believe that we’ll continue to grow quickly. And as to 3 billion target I guess it won’t be too far away maybe in one or two quarter from our original expectation because of our macro economy.
Joseph Quatrochi: So just I’m clear that pushed out from fiscal 2017 and into the fisca1 year over the course?
Charles Liang : Yes, maybe from two quarter to end of calendar year 2017.
Joseph Quatrochi: Okay thank you that's helpful. And then just one more if I could can you maybe talk about the demand that you are seeing for Broadwell and then maybe the timing of [indiscernible]?
Charles Liang : Yes, I mean we [indiscernible] much better performance per dollar and perform well, we did see quicker growth and together we saw NVMe kind of available across our product line, we did, we do expect quicker growth with our NVMe solutions.
Joseph Quatrochi: Thank you.
Charles Liang : Thank you.
Operator: And we will next go to Mark Kelleher with D.A. Davidson.
Mark Kelleher: Great, thanks for taking the question. If we look at, let me start at the revenue line if we look at the strong December you guys posted was there an element of pulling in of orders do you think from the March quarter and if the follow-on to that you lifted a lot of areas that were very strong where were some area that were weak whether products or regions and then could you specifically talk about how your government business is doing? Thanks.
Howard Hideshima: Hey Mark, this is Howard. Yes with regards to [indiscernible] to say in the quarter between as December and March quarter there was no that I say I think the seasonality is really the big story between the two quarters. Again December quarter was seasonally strong as it was for the industry and quite frankly for ourselves as well then there is some softness that happens right after that in the March quarter. The big difference between the two quarters is primarily seasonality but we did see some softness in some of our customers as well.
Mark Kelleher: Any particular vertical?
Howard Hideshima: I think you saw that like I said, if you want to call it was pretty wide spread around variety of different markets that we talked about here.
Charles Liang : Especially big data center, pricing it would be more competition that's something we saw.
Howard Hideshima: Yes, we talked a little bit about the product mix with regards to selling more datacenter optimized products, the DC products that refer to on the phone and that is specifically geared toward the I will call hyper scale, kind of guy.
Mark Kelleher: Alright and then just one quick second question. If I look at gross margin and utilization and try to match those up, what should we expect, should we expect that utilization slowly increases and gross margins kind of hang here around 15% or does that get filled up quickly. How do we think about gross margin versus utilization?
Howard Hideshima: Yes, Mark we have just brought on board as Charles and I both mentioned, increased expansion primarily here in the US and in Europe to match up with some of the great opportunities that we see there and also our goal is to go on and expand in further parts of the US and in Europe. So again, we are hopeful that as we fill the opportunities up there that we will continue to fill up the demand capacity.
Mark Kelleher: Okay. Thanks.
Operator: Thank you. We will next go to Alex Kurtz with Sterne Agee.
Alex Kurtz: Hey guys you can hear me okay.
Charles Liang : Yes.
Alex Kurtz: Hey Howard. So I just want to understand the short form the direct business, it sounds like there wasn't in the datacenter business right because that nicely 26% year-over-year or may be up in the 20s year-over-year. So I guess what I’m trying to understand here is, are there a couple of large enterprise direct customers that you usually sell through the channel that drove the short fall here?
Charles Liang : Yes, we are continuously growing in the enterprise as well especially software defined storage and cloud as well. But last quarter unfortunately the big order from some big datacenter kind of slowing down that impact us a lot for the March quarter.
Alex Kurtz: I know Charles, but would you classify those orders of those large customers as attritional like internet datacenter customer or more like an enterprise customer like a fortune 100 or fortune 5000 kind of company?
Howard Hideshima: Direct sales.
Alex Kurtz: What was that Howard?
Howard Hideshima: Direct sales.
Alex Kurtz: Okay. And then, taking another turn at this Broadwell release, any policy around the Broadwell pipelines as you guys are building up that channel? I know this historically been the air pockets around that kind of a release cycle?
Charles Liang : Yes, we do see some customers start to have [indiscernible] for our Broadwell and not just Broadwell, again NVMe solution. Our NVMe solution have been exactly the strongest player at this time I believe.
Alex Kurtz: I guess, so would you say that beyond seasonality there was some specific pipeline pause or have new chip releases?
Charles Liang : We did have some pipeline waiting for shipping the Broadwell and NVMe solution.
Alex Kurtz: Okay, alright. Thanks guys.
Charles Liang : Thank you.
Operator: We will next take a question from Mehdi Hosseini with SIG.
Bill Grinstead - SIG: Yes, thanks guys this is Bill Grinstead in for Mehdi. I wanted to take another turn on gross margins here. I know you guys gave a few bullets for why it was more pressured year-over-year but even comparing against your fiscal first quarter, the September quarter similar revenue volume, but the gross margin was still down 50 to 100 basis points and so I was wondering if you guys could lay out for us or weight the impacts of lower utilization versus how your revenue makes in the datacenter that might be able to hone in kind of what gross margin is going to look like going forward? Thank you.
Charles Liang : I guess the last quarter another factor to lower gross margin was the market going down right so key component was memory and hard drive prices are lower than before. And other than that utilization rate now we have plenty enough space so we can continue to grow our revenues without investing more on those facilities so that's some positive sign.
Howard Hideshima: Just to add to what Charles said to, I understand that we just bought some of our investments on board for our capacity that weren’t there in September. So again, if you are comparing September quarter versus the March quarter with regard to two seasonally weaker, there was some different investment that we just brought online for further capacity and utilization that is in particular this quarter.
Bill Grinstead: Okay, great that's helpful. And then, again on the Broadwell launch and you guys have historically spoken about the pause that was just referenced kind of leading up to one of these refreshes. And then, the big revenue quarter, the big paint of demand the kind of unleashes and that would be in the June quarter here. But the midpoint of guidance is up 14% and I understand you guys called out some macro weakness and you pushed out the three billion target of it. But are you guys seeing the normal type of activity that your headquarters testing all the different sockets, the normal type of demand leading into one of these refreshes would you characterize this any differently?
Charles Liang : We would be, our growth will be very strong still multiple time or industry average gross rate. However, again the macro environment looks like it will be solved that's why we would be more conservative.
Bill Grinstead: And would the softness be characterized on the datacenter side or the enterprise side or across the board?
Charles Liang : Yes, we do see kind of [indiscernible] datacenter pricing become more competitive than before. And again, as you know we are selective to take [indiscernible].
Bill Grinstead: Okay. Alright thank you guys.
Charles Liang : Thank you.
Operator: We will next go to Rich Kugele with Needham.
Unidentified Analyst: In for Rich just sticking with the gross margin at the low end of your guidance range what would you expect gross margin to be?
Howard Hideshima: We haven't given specific gross margin guidance on the ranges there, so I think you guys can trace it back along the EPS.
Unidentified Analyst: Okay thank you.
Operator: We will next go to Nehal Chokshi with Maxim Group.
Nehal Chokshi: Thank you. Could you talk about the progress you are seeing with the larger enterprise center plus you mentioned your software services were up around 47% year-over-year if I recall correctly I think you were talking about doubling or tripling of that opportunity. So could you revisit that where you guys are at relative here of your expectations one two quarters ago?
Charles Liang : Yes, we do see, our management survey defines [indiscernible] for cloud continue to grow quickly. Again 2x or 3x yearly. And we believe this change will continue.
Nehal Chokshi: Okay, thank you.
Operator: Thank you. And this does conclude the question-and-answer session of our conference call and I would like to turn the conference back to Mr. Liang for any closing remarks.
Charles Liang: Thank you for joining us today and we look forward to talking to you again at the end of this quarter. Thank you everyone, have a great day.
Operator: Thank you ladies and gentlemen that does conclude the Super Micro third quarter fiscal year 2016 conference call. We do appreciate your participation, you may disconnect at this time. Thank you.